Operator: Good afternoon, everyone and thank you for participating in today's conference call to discuss Profire Energy's Fiscal First Quarter ended June 30th, 2015. Joining us today is the President and CEO of Profire Energy, Brenton Hatch and VP of Finance and Strategy, Nathan McBride. Before we begin today's call, I would like to take a moment to read the Company's Safe Harbor statement. Cautionary note regarding forward-looking statements; statements made during this call that are not historical are forward-looking statements. This call contains forward-looking statements including, but not limited to statements regarding the Company focusing on reducing expenses; improving operational processes and making necessary investment; the Company's Chemical Management System being a good strategic decision and the product's ability to give the Company access to new markets and future growth; the Company's R&D team being able to complete development and testing of new management systems and those products' ability to open up opportunities in markets; the first half of the fiscal year being more difficult than the second half of the year; the Company being in an operational and cost steady state in Q2; the Company focusing resources in geographic areas believed to produce the highest return on investment; the Company's belief that its management of the current industry turbulence could enhance the long term effect in the or efficiency of the Company, or the Company's future performance relative to guidance discussed on this call. All such forward looking states are subject to uncertainty and changes in circumstances. Forward-looking statements are not guarantees of future results or performance and involve risks, assumption and uncertainties that could cause actual events or results to differ materially from the events or results described in or anticipated by the forward-looking statement. Factors that could materially affect such forward looking statements include certain economic, business, public market and regulatory risks and the factors identified in the Company's periodic reports filed with the Securities and Exchange Commission. All forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All forward-looking statements are made only as of the date of this release and the Company assumes no obligation to update forward-looking statements to reflect subsequent events or circumstances, except as required by law. Readers should not place undue reliance on these forward-looking statements. I would like to remind everyone, this call is being recorded and that it will be available for replay through August 17, 2015, starting later this evening. It will be accessible via the link provided in today's press release, as well as the Company's website at www.profireenergy.com. Following Mr. Hatch's and Mr. McBride's remarks, we will open the call to your questions. Now, I'd like to turn the conference over to the President and Chief Executive Officer of Profire Energy, Mr. Brenton Hatch.
Brenton Hatch: Thank you, very much. Good afternoon, everyone. Thanks for joining us today. Feels like just a few weeks ago that we had our last conference call, but none the less we're excited to provide an update on our first fiscal quarter and what is sure to be an interesting 2016. Now, as you may remember from our previous earnings call, we expected and still do a fairly difficult year in terms of revenues and profitability. However, given the turbulence in the industry, we feel quite good about not only our staying power, but our ability to become a more efficient robust Company through this period of time. So, while we realize a nearly 50% reduction in revenue, we successfully reduced cost in a very significant way, over $700,000 in operating cost compared to the preceding quarter to be precise and are starting to see more [indiscernible] come through than we've seen in recent quarters. We have a lot of conversations now going again often with new customers and are simply being told to hang on until budgets are loosened up again. So, overall it was a difficult quarter, but I'd note that we have a large cash reserve. We're able to increase cash this quarter, add a strong network of potential customers and feel we have significant staying power. Now, when looking at the quarter in comparison to last year's comparable period it's certainly a stark contrast, because the environment we're operating in today is completely different from the $100 oil prices and significant industry spending that one year ago was driving record activity across the oil field. So, while we did experience a loss last quarter, which as you know was very rare for us, we are genuinely optimistic for our future because of our people and their talent to continually make the Company better. Together with our financial position we have more of a growth related stress rather than a survival related stress. So, while we're not immune to the difficulty in the industry, we are in a very different position in a good way than many other companies currently are. We truly feel that this downturn has forced us to focus internally and that it will make us better in the long run. We have already made meaningful changes across the Company. We've reduced costs in many areas, improved operational processes and refocused our efforts in R&D, all in an effort to enhance our long-term strategic capability as a Company. We believe the expansion of our product line to include a Chemical Management System was a great strategic decision and we anticipate that CMS will drive significant growth in the coming years. Additionally, as our R&D team completes the development and testing of our new generation management system, we believe that these new products could open up new opportunities and markets for us, even another industry. So, stay tuned on those fronts. So, while there are certainly significant industry challenges to work through, we are still excited about the months and years ahead as we seek to build upon the foundation have established and bring new solutions to the oilfield. Now, before I talk any further. I want to turn the call over to Nate McBride, our VP of Finance and Strategies to discuss the financial results of the quarter. Nate?
Nathan McBride: Thanks Brent, and hello everyone. It's great to be with all of you today. This afternoon, we filed our form 10-Q with the SEC and discussed the quarter's highlights in the press release, and as always, both of those documents are available on the Investors section of our website as well as the transcript in the coming days. So that said, let's go ahead and jump into the income statement. In our first fiscal quarter of 2016, our total revenues did decrease 48% over the same year ago quarter to $6.9 million. The decreased purchasing from oil and gas companies stemmed from budget constraints due to the drastic price decline in the underlying commodities. Now, while we are anxiously working to return our growth rates to those we've seen historically, we're also realistic in our assessment of the effect that the industry turbulence may continue to have on us most certainly in the short term. We still believe that the first half of the fiscal year will be the more difficult one, but we do anticipate the revenue levels will begin to pick up in the latter half, through that could of course change if the commodity prices remain particularly volatile or stressed. Moving on, our gross profit decreased to $3.3 million or 48% of total revenues as compared to $7.4 million or 57% of total revenues in the year ago quarter. The biggest drivers leading to the decrease in our gross profit percentage year-over-year were first the increased allocation of overhead to cost of goods sold, which is derived from our larger fixed asset base and second, an increase in proportional service activity, which of course, carries a much lower margin than our products do. We do not feel that this is reflective of our long-term profitability potential and as we realized lower gross and net margin levels largely due to a deleveraging effect derived from our lower revenue levels, we are confident we have made the appropriate long-term investments needed to significantly ramp revenues in the future. So, for those reasons, we feel that higher revenues combined with our recent cost structure changes and operational improvements would help us regain both historical gross and net margin levels. Total operating expenses decreased to $3.9 million or 56% of total revenues from $4.1 million or 31% of total revenues in the same year ago quarter, even with a $100,000 nonrecurring severance expense that hit in the quarter as part of Andrew's departure. Although we expect to continue to deal with the difficult industry environment for some time, we are focusing our resources in geographic areas that we believe will produce the highest level of total revenues and return on investment including Colorado, Ohio, Pennsylvania, South Texas and Alberta. When compared with the same year ago quarter, operating expenses for general and administrative costs decreased 18%, R&D increased 12%, payroll increased 16% and depreciation decreased 14%. As Brent mentioned, we are working very hard over the last few quarters to reduce costs and become more efficient across the Company. As you can see, we've done that. We believe we could substantially reduce costs even further but are being deliberate about preserving our long-term growth opportunities. Total other expense during the period was $69,230, the majority of which was attributable to the effect of exchange rates on certain intercompany balances. Our net loss was $458,813 or a loss of $0.01 per diluted share, compared to net income of $2.2 million or $0.05 per diluted share in the same year ago quarter. Cash and cash equivalents totalled $17.2 million as compared to $4.6 million in the same year ago quarter, the increase being largely attributable to the equity raise completed last year. I would also note that in Q1, we realized a net increase in cash of over $3 million. Now, even if we don't include changes in net asset and liability accounts, we're still about breakeven on a cash flow basis. So, I think that speaks to our staying power and certainly gives us confidence to navigate the coming quarters. Now to reiterate what Brent noted earlier, when considering the comparisons I've described here, please bear in mind that last year's Q1 period was the most profitable quarter in our history, and of course coincided with the time when oil prices were more than $100 per barrel. So a very different environment that might suggest. So, in summary as Brent discussed earlier, this is a very difficult time for our industry, but we are positive about our long term market opportunity. The key to our success moving forward will be our ability to plan and adjust appropriately for commodity price pressure and recognize long-term opportunities for investments with significant returns, as well as identifying ways to leverage our expertise in traditional markets and even industries with less oil and gas price risk. We feel we're positioned well for the coming months and years as the industry finds its balance in activity and commodity prices. Now apart from our hopes that the macro environment will improve, which may or may not happen by fiscal year end, we are proud of the number of initiatives we've already pursued, as well as others that we have in mind. Our recent cost reductions for example, together with our CMS momentum and R&D pipeline have given us a very bright outlook for the coming quarters and years, and if you don't share that sentiment currently, I'd encourage you to come to our shareholder meeting in September and we'll be filing those proxy materials shortly, but I'd encourage you to come see our facilities, meet our team personally and get a sense in person for our vision. Finally, let me just add that we're very appreciate of each of you as shareholders. We take your trust in investment very, very seriously. We try to be available for questions and comments and we hope you had a sense of our passion here at Profire because many of us internally of course are shareholders and are anxious to recapture the historical growth rates we've seen for so many years. We're confident we can do it and hope you have the same sense. So, thanks Brent. I'll send it back to you.
Brenton Hatch: Thanks Nate. It's great to have Nate join me today to present on the call and as you all know, Nate's extremely capable. He's stepped up to fill a void. We appreciate all he's done to support the executive team and the Board as we've been searching for a new CFO. As far as the progress on that front is concerned, we have interviewed many very qualified candidates for the CFO position, selected a handful of final candidates and each of those candidates has been interviewed by our audit committee chair and reviewed with the Board. We feel we're very close to making a – to having a successful candidate. We'll keep everyone posted when a decision has been made. Of course, scheduling permitting we will do our best to quickly introduce our new CFO to all the stakeholders when that time comes. In summary, we truly feel that the future is bright for the Company in the long term and that we're well positioned to manage through this trend industry volatility as we've reiterated before, we feel that it's not a question of whether or not we'll make it through the industry storm, it's more a question of how capably we manage the process, how much we learn and how much strategic positioning we can do in these coming quarters. We have no debt. We have significant cash reserves. We have our eyes open for opportunities to make acquisition or investments that we believe to be accretive to the Company. We affirm our previously stated guidance. We are guiding for total revenues between $25 million and $30 million with net income of negative $1 million to positive $2 million. We still anticipate that purchasing activity during the third and fourth quarters may begin to pick up and anticipate leveraging some operational efficiencies created during Q1 and Q2. However, that could change if the underlying commodity prices continue to be volatile, nonetheless, we remain confident about the long term opportunities of the Company and our ability to strategically direct the Company in the future. Again, our history as a Company is primarily one of significant gross and net margin, significant growth and of course no debt. We feel we can manage the coming quarters to ensure that such remains the case in the long term. With that, I'd like open up the call to questions. So, operator, would you please provide the appropriate instructions so we can get the Q&A started?
Operator: [Operator Instructions] Our first question today comes from William Bremer of The Maxim Group. Please go ahead.
William Bremer: Let's begin. Can you sort of give us a sense of what was the largest border that was realized in this first quarter?
Brenton Hatch: I really couldn't tell you specifically. We've, as alluded to in my previous comments, we've got a lot of new customers. That's one of the real highlights I think of this quarter, is that our sales people have gone out and established contracts or at least relationships with a number of new companies. We've made some sales to them and although some of our sales have dropped off with some of our previously held customers, we are very excited about establishing this base with new and so that when things to turn around we will be drawing for many companies rather than just the few solid ones that we've had. So, I can't give you the specifics on that right now Bill.
William Bremer: Okay, maybe a different way of asking, Regulation 7, Colorado, how is that impacting your product line right now in your Company?
Brenton Hatch: It was really very good initially when the legislation first came out, but we have yet to see – it recently, at least significant purchasing in this regard, I think what's happening is because of the cut backs of all these companies they're waiting closer to the end of the deadline date. Now, that's not to say that we haven't been doing things with companies like Anadarko and so on, but we are making sales there but we anticipate things picking up significantly as the deadline comes close.
Nathan McBride: And I might just jump in Bill, as Brent mentioned, relative to what we thought it could've done, in the first couple of years, it certainly – if the drilling had been maintained as we thought I could have. I think it could've been a lot more meaningful contributor right away, but Colorado, even best, setting that aside Colorado still has been a very productive area for us. It's one of our top producing areas, but as Brent mentioned, it's not quite where we like it to have been based on that regulation, but it has been meaningful, so.
William Bremer: Okay, one more question and then I'll hop back in queue. Can you give us a sense of the sales personnel as well as the service personnel? The service and margins really dropped off the cliff there. Just want to get a sense of the strategy going forward. How many sales individuals we have at this point and how many service personnel?
Brenton Hatch: Yeah, we have presently 17 in our sales group and we have 18 in our service group. The service group is of course, not strictly service. They are an integral part of the whole sales operation and often set up sales for us as they're out there, but at the present time, that'll be the numbers, 17 and 18 respectively.
William Bremer: Okay, I'll hand it over to someone else and come back in queue.
Operator: The next question comes from Rob Brown of Rob Brown of Lake Street Capital Partners. Please go ahead.
Rob Brown: Good afternoon. Just wanted to push a little more on the visibility question. You're having conversations with customers and they say they're waiting for budgets, but what sort of the interest level is the product right now and might budget lose stuff later in the year or is it really a question of when to expect your budget cycle or where you're at through your customer conversation?
Brenton Hatch: That's a great question. We never know for sure what the companies are going to do. They had started to establish some budget, but it's pretty tentative right now. The outlook is really quite optimistic at the field level when our sales force goes out, they are told over and over again don't forget us, we love you, we want you to provide your product to us, but hang on, we just can't do anything right now, so, just stick with us but don't quit on us and so, we think that – and we see this over and over and over again, not just with one or two companies. We think that as being very positive for our future that one day when prices to stabilize a little or maybe when the cost cutting is completed as these companies see they want to accomplish that, that we will start to do a little bit more as these budgets are established. It's interesting to note that many of these companies have cut their cost by 30% to 40% even, and therefore are able to operate at lower oil prices and so we anticipate this having a positive effect in coming quarters.
Rob Brown: Then on the Chemical Management business, just give us an update there on how many units you've sold, where that is in the sales pipeline and how you see that growing?
Brenton Hatch: You bet. That's really been a kind of an exciting thing for us. We've got about 100 units out there now, close to high 90s for sure and some of these are trial units that these companies are putting out there, but we're getting many calls from companies or they're expecting many of our calls, chemicals are a significant part of the cost of these companies, sometime number two and three behind manpower and so anything that they can do, especially if they're moving toward these cost cutting measures, anything that they can do to cut costs is something that's significant, they seem to be interested in doing. We have had a number of companies where we have put units out that they're showing very impressive returns. In a couple of cases we've had payback as short term as six weeks, two months, that sort of thing and that of course, creates a great deal of interest for them. So, we're very enthused about that, and we anticipate towards the end of the year again, seeing some more significant sales from the Chemical Management end.
Rob Brown: Then on the cost structure, do you feel like your operating cost structure is sort of at a level or is there more potential to come out there?
Nathan McBride: Yeah Rob. I think we're just about there. I think, we've mentioned a couple of times that Q2, we feel will be pretty representative of a steady-state from an OpEx standpoint and I think that's fair to say, but you can see how much those have come down even just in Q1 and so, I think keeping OpEx at these levels is a fairly realistic thing to have in mind.
Rob Brown: Okay, thank you.
Operator: The next question comes from Jim McIlree of Chardan Capital. Please go ahead.
Jim McIlree: So, can you talk a little bit about inventory and receivables going forward? I thought it dropped in the quarter and I was curious if you think it could drop in Q2 or in the September quarter?
Brenton Hatch: Appreciate you mentioning that Jim. As you can see inventory has come down from Q4 from year end and that's been a deliberate effort on our part, absolutely, our ops team is focused on brining that number down. I think it's not unrealistic to think it could come down further. I'm not going to suggest it could do so dramatically but having that come down a little bit further, I think, is a realistic thing and when you look at receivables, obviously we've done a good job at collection on so many of those accounts and I think the number that we've got here, 7 is probably a good working number. Obviously it depends on what those sales look like in the coming quarters, but I wouldn't suggest that would come down real dramatically in the near future, it's probably a fairly healthy expectation to have.
Jim McIlree: Okay great. I wanted to make sure I understood the comments about OpEx. It seemed like you were saying that it could come down a little bit in the September quarter versus the June? This time, I thought I heard you say that maybe current levels are stable –
Brenton Hatch: No, I think materially, generally speaking, we're about there and if anything, when you look for example, the [indiscernible] you think about Andrew's severance for example. That's $100,000 that's not going to be recurring. So, there's that to consider, but I think largely, we're about steady state right now and if you account for something, for example Andrew's severance coming out and taking place again, I think we're about there.
Jim McIlree: Brent, you mentioned the BMS going – can you put a more precise timetable on when you think that product would come out and secondly when it does come out, would you target those new industries immediately or would that be a secondary target after you go after the traditional customer base?
Brenton Hatch: I can't tell you the exact date that we will be doing this. The one thing Jim that we don't want to do is bring out a really good product at a time when the market can't accept it because of limited or non-existent budgets out there. So, we're trying to time it based on what the oil industry is doing at the time, but I can tell you it's imminent. It will happen before too very long and when we do the oil deal first, we'll probably, because that's where most of our contacts are, that's where we will make our initial contact, but we will immediately go after some of these industries as we have the opportunity over these coming months after we introduce this product.
Jim McIlree: Great. And I know that the recent dip in oil prices has been short-lived so far but has there been any reactions by your customers to this recent decline?
Brenton Hatch: No, certainly not as significant as the previous one and again, I just alluded to this a bit earlier, I think part of that is because they've done such significant cost cutting that they're able to weather this storm a little bit differently than they will the original one, when Shell laid of 50 million people at the time of the year – maybe not million, how about we – it really does have quite an impact on their bottom line, so their budgets aren't as effective now as they were previously, so we anticipate this unless it drops a lot more, we don't see this being as significant.
Jim McIlree: Got it. Okay. Great. Thank you. That's all from me.
Operator: The next question comes from Randy Hokanson of Barrington Research. Please go ahead.
Rudolf Hokanson: A couple of questions. One, I think, you went over in the call, talking about areas of focus, geographical areas where you might concentrate a bit more? Am I correct?
Brenton Hatch: Yes, uh-huh.
Rudolf Hokanson: Could you just repeat that please and give us an idea why those areas might be more important right now, while you are trying to make sure that your most effective?
Brenton Hatch: You bet. Happy to do that. South Texas has been an area of focus for the E&Ps. They are actually getting quite aggressive in that region right now and pulling out of some of the peripheral areas and going there, Alberta, in Canada has always been the hot bed of action in Canada and it seems to be springing back. Colorado is one of those areas and it's – I think for obvious reasons because of the legislation that occurred there, it's certainly a focal point for us. There are a number of companies – big companies that we're dealing with, doing some of the foundation work, but when they want to pull the trigger on that one, Iowa and Pennsylvania has been particularly good. They seem to have been less affected by the whole oil price drop than other regions. We are doing a lot of work there. We have good relationships with virtually all the big companies there and we haven't seen a significant drop there as we have in other regions. So, those would be the ones. I'll just go through those again. Colorado, Ohio and Pennsylvania, South Texas and then Alberta in Canada.
Rudolf Hokanson: Okay, thank you. Then, maybe Nate, could you talk a little bit about the effective tax rate that you're expecting for the year that we should use in our modelling?
Nathan McBride: Yeah. Yeah, you bet. When you look at the tax benefit, and one thing I'll just note is, it may get thrown off a little bit here. Your model may be thrown off a little bit because of course, there's things that really don't factor in to that fact shield and so you don't have what we would consider to be a more working normal rate. So, I think probably closer to that 30%, I think is pretty, is a fair expectation to have, somewhere in that neighbourhood, of course as a function of U.S. and Canada there with the different tax rates at play, 25% to 35% and so that's something to keep in mind, but I think that 30% historical rate that we've tended to point to is still a fair rate to have in mind.
Rudolf Hokanson: Okay, the other questions have pretty well been answered. Thank you.
Operator: Our next question comes from Scott Billeadeau of Walrus Partners. Please go ahead.
Scott Billeadeau: Just a question on the sales force, you talked about 17 in the sales group and 18 in the service group. A couple of things. You've got these guys focussed on all products or is there any that are focused on the chemical market and then also on the new, the BMS, the burner management, when it comes out for a new industry, will you tap the current guys you have or are – who's going to attack that new opportunity?
Nathan McBride: Yeah Scott, it's a great question. There's – I guess a couple of things at play. One is, we have of course all these people out throughout North America. We want to be sure to leverage them and their presence and their boots on the ground in Canada and the U.S. and so, on one hand we want to make sure we capture that leverage, but on the other hand, of course, you're naturally concerned about their efficacy and their ability to really capture the technical nuances of each of those products and especially once you start venturing into the new industries, so those few things have been on our mind as well and so where we've landed from a strategy standpoint is, we want all of our sales guys to be good enough to get the meeting. It's kind of the phrase we'll use and then we're developing – and this is the idea long term of course as well, developing these more specialized groups to go in and, once the meeting's been setup, to really go in and fish those nuance deals, whether it's chemical or it's a new industry, whatever the case may be. That's kind of the approach that we've drawn up internally, so that we can leverage all those people, but we're also not diluting intellectually all of that real estate for them and making sure we get the best of both worlds. So, that's the thought from an approach standpoint.
Scott Billeadeau: We know sales guys will – if there's a little bit of hit or commission to generate they're going to go to [indiscernible] you do want them out blazing new trails, so.
Brenton Hatch: That's for sure.
Scott Billeadeau: Dividing the comp system right, so. The only other question I have is just any update on the [indiscernible] update on the CFO?
Brenton Hatch: I addressed this a little bit earlier in the preamble, but we've interviewed quite a number of – actually remarkably talented people and are down to a few finalists in that. We've had those interviewed by our audit committee chair and each of us of course, the Board has been apprised of who they are, what they are and we will be making a decision shortly on who that individual will be, but we would expect in coming weeks, months to have someone in place and actively going at replacing that position.
Scott Billeadeau: Great. Then, another question a little bit on the visibility or pipeline or whatever. Maybe, I mean, given the last [indiscernible] ramp up in sales fore kind of managing that and just where are you on kind of the sales operations base? What the pipeline looks like and how do you know given how things have changed so much in the last 12 months, comfortable about what's dropping in the top as what's going to pop out the bottom?
Brenton Hatch: That's, I mean, always the ubiquitous question, what you do in terms of those. One thing, Scott that we're really trying to focus on is the fact that we know that this industry is going to turn around eventually here and whether it happens in two quarters or two years, we don't know for sure, but the one thing we don't want to do is cut all of our sales force that have taken a year or two to train to be comfortable with our products and so on, and have to start over at that point. We want to be prime and on the ground, ready to go when the changes to happen. At the same time, we don't want to be throwing money out the window and so very, very tough decisions but we feel like we're getting to a number now that's working quite well for us. We're down fairly significantly from where we were at one point, but we've got very talented, very gifted guys now, who are very conversant with the products and services that we have. So, but we're feeling fairly comfortable and as we see things start to pick up a little bit, as we see these budgets established and more people wanting to set up meetings with us, we feel like the number's probably pretty good right here.
Operator: The next question comes from Walter Ramsley of S2 Partners. Please go ahead.
Walter Ramsley: Well most of the questions obviously have been answered, but I've got a couple of more high level ones that maybe you want to tackle if you're interested. The natural gas industry, that industry had low prices for a number of years now. Do you think that segment is poised for some sort of improvement for whatever reason and do you think they've also benefited at all from the kind of inventions and cost cutting that's taken place with the oil fracking. Have they been able to kind of transport some of that over to the natural gas and make that operation more profitable?
Brenton Hatch: Walter, I've put Nate in charge of all of those questions that nobody has an answer to. So, we'll let him try.
Nathan McBride: Thanks Walter and thanks Brent as well. As far as natural gas goes Walter, obviously there's a lot of analysts out there that have a lot of guesses and they're about as diverse as they could possibly be. When you think about some of the political things at play too affecting the industry, it just throws a wrench into a number of things. Certainly, some of the trends are shared. Obviously, natural gas is holed up with oil. You see some trends that are shared in terms of production and price, but I'm not sure I could give you a really good answer as to where we see it going. I guess, on one hand we have hopes that it'll turn around in the short term and a lot more confidence it'll turn around in the long term, but independent of all that, the other thing I might make note of is that, and we've mentioned it a couple of times, just briefly on the call, but, really, our objective is to manage the Company in a way that really makes some of those things a lot less relevant in the long run so that we can expand into other industries, head away from some of this oil and gas risk that has been prevalent and eventually expand our presence. When you look at our history, we started as a service company and now really, just about all of our revenue comes from products and so that kind of flexibility and thinking ahead is something I think is imperative to being successful in the long-term and I guess that's our main thing, but as far as getting in the real specifics of where natural gas is going, sure I could give you a real good sense there.
Walter Ramsley: Okay, you have the split for the quarter between oil and natural gas for the revenues?
Nathan McBride: We haven't historically really gotten in the details, but that's what it is, it does move around, but we haven't seen a change dramatically in the last few quarters and so old versus new, we haven't really discussed that. So, there's probably still a slight skew towards new wells and obviously there's a little bit of a trend towards more and more retrofit as new has really slowed down dramatically of course, but as far as oil and gas, no, nothing historically different, but we haven't gone into specifics on what that breakout is.
Walter Ramsley: Okay, and then the Chemical Management System, obviously that thing has a lot of potential. How influenced do you think the sales of that are going to be by the oil price? Is it going to have the same sort of impact of burner management or it's going to sort of go its own way somewhat more easily?
Brenton Hatch: I think probably, it will be, especially in this marketplace be an easier sale. Again, the focus of all these companies is on cost cutting and where this particular product can do such a – make such a significant difference in terms of the cost of chemicals to them, I think that it will probably, if anything, get even more attention. We don't seem to have lost any of the interest in the BMS. The ability to purchase it has been somewhat limited by budget, but in terms of actual interest, this Chemical Management is really very fascinating to many of the companies. We've got quite a number of units out there on trial and test and some potentially significant contracts if they work out the way the companies think they will and we think they will.
Walter Ramsley: Yeah, that one sounds good. Anyway thanks for taking the questions. I know it's a tough situation, but you guys are doing a very good job.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call over to Mr. Hatch. Mr. Hatch, please proceed.
Brenton Hatch: Thanks everyone for joining us today on this first quarter conference call. We'd like to thank all of our loyal customers, our employees, our shareholders for the continued support and encouragement. Please know that we are of course available to all shareholders, analysts and others to discuss any questions or concerns that you might have. Feel free to contact us directly anytime. Thank you very much. Have a great day everyone. Thanks.